Operator: Good day, and thank you for standing by. Welcome to the PLS FY '25 Results Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker, Dale Henderson, CEO and Managing Director. Please go ahead.
Dale Robert Henderson: Thank you, Michelle. Good morning and good evening, and thank you all for joining us for PLS' FY '25 full year results. I'd like to begin by acknowledging the Whadjuk people of the Noongar Nation here in Perth as well as the Nyamal and Kariyarra peoples on whose lands our PLS operations are located. We pay our respects to their elders, past and present. Joining me today is Flavio Garofalo, our Interim CFO; and Sandra McInnes, our Chief People and Sustainability Officer, along with other members of the senior team. Today's session will run for approximately an hour. We'll begin with an overview of our FY '25 results and then delivery against our commitments, followed by an update on our strategy. We'll then recap on our FY '26 outlook, provide commentary on the lithium market and then move to questions. Now starting with our opening commentary. FY '25 was a transformational year for PLS. It was one that tested the sector, but also demonstrated our resilience and ability to deliver. We executed major growth projects, lowered costs and strengthened our balance sheet, all while expanding our portfolio internationally. Importantly, against the backdrop of softer pricing, we use this stage of the cycle strategically, embedding efficiency, building scale and preserving flexibility. This positions PLS to capture value as conditions improve. Looking ahead to FY '26, our focus is clear: operational excellence, disciplined cost control and capital efficiency, leveraging the strong platform we've built to drive stronger margins and long-term returns. Moving now to Slide 2. FY '25 exemplified our ability to execute in a challenging market, while continuing to build for the future. Now I won't go through every item on this slide, but it was a standout year operationally, delivering record annual production of 755,000 tonnes, implementing the P850 operating model and commissioning the world's largest lithium ore sorter. These achievements reflect both disciplined execution and strategic foresight, positioning PLS strongly for the next phase of growth. Now moving to Slide 3. Turning to our financial highlights. FY '25 was a challenging year from a pricing perspective, yet our results demonstrate resilience and discipline. We delivered a step change in reduction in unit costs to AUD 627 per tonne, even in what was a ramp-up year. This improvement was critical in supporting a positive EBITDA outcome despite the low-priced environment. Importantly, we preserved our fortress balance sheet, underpinned by scale improvements, innovation and our Cost Smart program. This saw us close the year with approximately $1 billion in cash, $1.6 billion in total liquidity, giving PLS sector-leading balance sheet flexibility. The combination of lower costs and balance sheet positions us to capture stronger margin as the cycle improves. Together, these results underscore our evolution into a resilient, cost-competitive operator, well positioned to create value as market conditions improve. Now moving to Slide 4. Sustainability is integral to our purpose and central to creating enduring value. FY '25 was no exception. Our commitment to valuing people delivered tangible results with the TRIFR improving to 2.79 for our Australian operations, demonstrating continued progress in safety performance. We also achieved a 7% reduction in Scope 1 and 2 emissions, supported by completing our Stage 1 of our power strategy. This includes the new high-speed gas generators and on-site battery energy storage. Together, these achievements highlight how we are advancing safely plus efficiency and decarbonization, all in line with our purpose, whilst creating shared value for our stakeholders. With that, I'll now hand over to Flavio to take a deeper look at our financial performance for the year. Over to you.
Flavio Lino Garofalo: Thank you, Dale. Good morning, and good evening to everyone joining us today. Please turn to Slide 6 of the presentation for a summary of the group's key financial metrics for the full year ended 30th June 2025 or FY '25. Our FY '25 results reflect strong operational performance and sustained cost discipline despite pricing headwinds. We maintained positive EBITDA and cash margins and our robust balance sheet positions us well to capitalize on future opportunities. Our financial performance was materially impacted by commodity pricing. The average realized price for SC5.3 grades declined 43% to USD 672 per tonne, reflecting challenging market conditions across the sector. Revenue came in at $769 million, down 39% year-on-year, primarily due to lower pricing, though partially offset by higher sales volumes. Underlying EBITDA was $97 million, down 83% from prior year. Importantly, it remained positive despite significant pricing pressure, demonstrating our strong cost discipline and operational efficiency. The underlying loss after tax of $88 million reflects this lower EBITDA combined with increased depreciation from our expanded asset base. Statutory loss after tax was $196 million, which includes construction costs for the midstream demonstration plant project on schedule to be completed by December as well as noncash impacts from our investment in the PPLS joint venture. Despite the impact of lower pricing, our balance sheet remains robust. We closed the year with a cash balance of $1 billion and liquidity of $1.6 billion, underscoring our financial strength and positioning us to capitalize on future opportunities as the markets improve. Turning to Slide 7. Our operational cost performance highlights the benefits of scale and operational efficiency. The FOB costs increased 3% to $476 million, while supporting a 4% lift in production volumes, demonstrating positive operating leverage and disciplined cost management. Unit costs declined across the board. FOB unit costs dropped 4% to $627 per tonne, driven by higher volumes, P850 efficiencies and ongoing cost reductions through our Cost Smart program. Unit costs on a CIF basis performed even better, falling 10% to $735 per tonne, reflecting these operational gains plus lower shipping and royalty expenses. Turning to Slide 8. Our profit and loss waterfall illustrates how we maintain positive margins despite pricing pressure. Revenue for the year was $769 million, offset by operating costs of $559 million, resulting in a gross margin of $210 million. This outcome reflects continued success of our P850 operating model in driving cost efficiencies. General and admin expenses came in at $64 million, a 3% reduction year-on-year, highlighting our disciplined approach to managing overheads and maintaining lean operations. We invested $38 million in exploration and feasibility activities, including targeting drilling at Colina. Underlying EBITDA remained positive at $97 million after accounting for depreciation of $221 million, net income of $9 million and income tax benefit of $28 million, we reported an underlying loss after tax of $88 million. Turning to Slide 9. Our cash flow bridge demonstrates disciplined capital management during a period of significant investment. Cash declined from $1.6 billion to $1 billion, primarily reflecting $653 million in CapEx as we completed our major capital investment cycle. Cash margin from operations was $192 million, demonstrating strong cash generation at low average realized prices of USD 672 per tonne. Cash margin from operations less mine development and sustaining CapEx remained positive at $28 million, validating our operational resilience in the current market. Having completed our major investments, we are well positioned to capitalize on improving market conditions through stronger margins and increased cash generation in FY '26 and beyond. Turning to Slide 10. Our balance sheet remains strong, reflecting disciplined capital management and a continued focus on value creation. On the asset side, we ended the period with $974 million in cash. While this is lower than the prior year, it continues to provide substantial liquidity supported by $625 million in undrawn capacity from our $1 billion revolving credit facility. Inventory increased 29%, mainly due to higher stockpiles resulting from reduced ore processed under the P850 model and expanded holdings due to P1000. Additionally, consumables increased to support broader operational requirements and our transition to an owner-operator model. Financial assets declined 61% to $25 million, primarily due to a $40 million reduction in the fair value of the PPLS call option. The increase in other assets during the period primarily reflects the acquisition of the Colina project. On the liability side, borrowings remained broadly unchanged, whilst lease liabilities increased due to new finance leases primarily for drills, excavators and other supporting equipment under Phase 1 of the HME strategy as announced in Q1 FY '25. This disciplined approach to managing both assets and liabilities supports our robust equity base of $3.5 billion, providing a strong platform for future investment and growth. I will now hand over to Sandra to take you through the next section.
Sandra McInnes: Thank you, Flavio. Turning to Slide 12. Sustainability remains central to our strategy built on 3 core pillars that guide our approach: valuing our people and communities, sustainable operations and responsible and ethical actions. These pillars are not just aspirational. They drive meaningful actions and measurable outcomes across our business. Turning to Slide 13. Our performance in FY '25 demonstrates continuous improvement in safety culture and workforce development. Safety remains our top priority, and we outperformed our targets, achieving a TRIFR of 2.79 and achieving 2.71 for our quality safety interactions, highlighting our strong leadership engagement in safety conversations. Female representation for FY '25 is at 21.1%. And pleasingly, we increased our First Nations employment to 3.1%. We also increased our community investment spend to $2.2 million, which includes 12 multiyear partnerships. Turning to Slide 14. In FY '25, we delivered real emissions reductions with our absolute Scope 1 and 2 emissions dropping by 7.1%, and we reduced our power-related greenhouse gas emissions intensity by 20% through delivery of Stage 1 of our power strategy. We maintained 0 major environmental incidents, all while processing record volumes. We also surveyed more than 44,000 hectares of flora and fauna, supporting our commitment to biodiversity. Turning to Slide 15. Responsible and ethical actions underpin our long-term success. We directed $1.2 billion or 95% of our spend to Australian businesses, supporting local economic development. We rolled out our supplier code of conduct in 4 languages and invested over $30 million with 16 First Nations businesses, demonstrating our commitment to indigenous economic participation. For the year, we also contributed over $41 million in royalty payments to government, traditional landowners and other parties. Turning to Slide 16. Transparency remains a cornerstone of our approach with comprehensive sustainability reporting available through our annual report and sustainability data book. Our disclosures cover all aspects of environmental, social and governance performance. We're delivering on our sustainability commitments, while navigating challenging market conditions, demonstrating that responsible operations and commercial success can go hand in hand. I'll now pass over to Dale.
Dale Robert Henderson: Thanks very much, Sandra. As you've just heard, FY '25 was another huge year for sustainability. So a big thank you to the full organization for the efforts in this regard, but in particular, Sandra and her team for stewarding those efforts and achieving those great outcomes in what's been a tough market backdrop. And of course, that adds to all the other things, which we've touched on in terms of the incredible year that FY '25 has been. Now moving to our strategy. So FY '25 represented a significant step forward in executing our strategy and making it timely to reflect on its core elements that have progressed and being delivered. So our strategy rests on 4 key pillars: firstly, operating with excellence to meet performance commitments; secondly, realizing the full potential of our global asset base; thirdly, creating additional value through participation in battery materials supply chains; and lastly, diversifying our revenue base beyond Pilgangoora. These pillars shape our decisions throughout FY '25, driving record production, lowering costs, international expansion and downstream progress, and they remain central as we navigate the cycle and create sustainable long-term value. FY '25 represented a major step forward in delivering our strategy. So we thought the time to briefly reflect on each of these core elements and highlighting those achievements. So looking at Slide 19, Pilgangoora's transformation is now complete with this major investment cycle behind us. P680 delivered a new crushing and ore sorting facility, unlocking whole of ore processing and enabling higher proportion of contact ore processing, improving overall resource utilization and lithium recoveries. P1000 expanded processing capacity, supporting higher production volumes and underpinning lower unit operating costs. In parallel, the move to the P850 operating model supported by the turn off of the Ngungaju facility has delivered a lower cost operating platform, reflecting a disciplined value over volume approach tailored to current market conditions. With construction complete, our focus now turns to optimizing performance, maximizing throughput, improving recoveries and driving additional cost efficiencies and reliability across the asset. This shift from investment -- this shift from investment to returns strengthens our leverage to margins and cash generation as market conditions improve. Turning now to Slide 20. In FY '25, we rolled out our Cost Smart program, which is already delivering sustained cost savings and operational improvements across mining and processing. On the mining side, we transitioned drilling -- sorry, we transitioned drilling and blasting and heavy equipment to owner-operate model. This has increased workforce flexibility, improved knowledge retention and lowered mining costs. In processing, reviews of consumption patterns secured better contracting rates for reagents, while targeting plant modifications lifted recoveries and improved throughput. These initiatives highlight the benefits of combining disciplined cost management with scale and processing improvements, strengthening our long-run cost advantage. Moving to Slide 21. Our measured investments are designed to provide diversification and future growth optionality across the value chain. The Ngungaju processing plant has been retained at latent capacity, giving us the flexibility to rapidly scale production when market conditions support. Nearer term, the midstream demonstration plant is on track for completion in December '25, while the P2000 study and joint downstream work with Ganfeng provide future expansion and integration opportunities. Collectively, these initiatives establish multiple pathways to scale plus flexibility and downstream participation, positioning PLS to capture disproportionate value as the cycle recovers. Turning to Slide 22. Our 18% equity interest in the Gwangyang lithium hydroxide facility in South Korea positions PLS within one of the world's most advanced battery and EV ecosystems with 43,000 tonne nameplate capacity, both Train 1 and Train 2 have successfully produced battery-grade lithium hydroxide with Train 2 progressing through customer certifications. The facility strengthens our downstream participation, diversifies our geographic footprint beyond China and connects PLS directly to leading global battery and EV manufacturers. This JV is central to our strategy to capture greater value along the battery material supply chain, while building long-term supply chain resilience. Turning to Slide 23. The Colina project is a key pillar of our diversification strategy, extending PLS' portfolio beyond Asia and Australia into the Atlantic markets of North America and Europe. This 100% owned hard rock project benefits from strong government and community support, providing a stable foundation for long-term growth. Earlier today, we published our mineral resource statement for Colina, consistent with the outcomes disclosed by Latin Resources. Drilling under PLS ownership is now targeting extensions to this resource. Study optimization is underway with outcomes due later in FY '26. In the meantime, exploration and evaluation activity continues to advance, positioning Colina as a meaningful future growth option for PLS. Turning to Slide 24. Discipline in capital management has been central to protecting and strengthening our balance sheet. Over the past 3 years, we've taken tough but necessary steps, delivering approximately $230 million in cash flow improvements in FY '25 alone. This has been driven by initiatives such as the P850 operating model shift and our Cost Smart program, embedding lower costs and leaner operations. Looking forward, discipline remains our compass, lowering unit costs post P1000, keeping capital expenditure tight and sustaining our culture of cost focus. This approach has built a balance sheet capable of weathering the cycle, underpinned by $1 billion of cash, $1 billion RCF, which is $375 million drawn and a total liquidity of $1.6 billion. Turning to Slide 25. Capital allocation discipline has enabled us to work with the cycle, strengthening the business, rewarding shareholders and reinforcing the balance sheet. In the FY '22 and FY '23 pricing period, PLS generated $3.1 billion in cash. Of this, 24% was returned to shareholders by $800 million in dividends, 63% reinvested into growth projects, including the P680 and P1000, which we completed this past year and 12% was retained to strengthen the balance sheet, which I touched on a moment ago. These disciplined choices have left us with greater scale, lower cost and the flexibility to capture value as the lithium cycle resets. Moving to Slide 26. So through disciplined capital management, PLS has built a robust balance sheet. With $600 million in net cash, we hold one of the strongest financial positions among ASX and North American lithium producers. By contrast, many peers carry significant net debt constraining their flexibility. This financial strength is a strategic differentiator, providing resilience through volatility and flexibility as the cycle turns. Moving now to Slide 28. As we look forward in FY '26, our focus is clear. We are sharpening our efforts around operational excellence, disciplined cost control and capital efficiency, ensuring PLS delivers strong performance today whilst preserving flexibility for tomorrow. At Pilgangoora, the priority is to unlock the full value of our foundation asset through reliability, efficiency and cost discipline. This is the engine room of value creation. At the same time, we will maintain readiness for growth through targeted studies and modest investment, preserving the ability to scale quickly as market conditions improve. In chemicals, we'll progress our strategy selectively, moving forward where it makes long-term sense, while preserving cash in the near term. In exploration, our approach remains disciplined and targeted. At Colina, we are investing modestly to prepare future growth options, while maintaining strict capital discipline. Taken together, these priorities reflect a balanced and disciplined approach, maximizing value from our current platform, protecting cash and preserving the strategic optionality that will position us strongly for the next cycle. Turning now to Slide 29. Our FY '26 guidance first disclosed in the June quarter results sets out our delivery priorities. Production is guided at 820,000 tonnes to 870,000 tonnes, reflecting the benefits of Pilgangooraâ€™s new expanded scale. Unit operating costs are expected in the range of AUD 560 per tonne to AUD 600 per tonne, highlighting the cost leverage we've embedded through the P1000 and Cost Smart programs. And capital expenditure is set between $300 million and $330 million, a sharp reduction from the prior year, reflecting the completion of our major investment cycle and our commitment to capital discipline. This guidance illustrates how PLS is positioned for scale and margin expansion in FY '26, delivering stronger cash margins, preserving flexibility and ensuring resilience through the cycle. Turning now to Slide 30. Slide 30 brings these guidance metrics to life in the context of our long-run performance trend. FY '26 is the next stepping stone on this journey. Capital expenditure steps down sharply falling to around $350 million and FY '26, reflecting disciplined delivery and the end of our major growth projects. At the same time, unit operating costs are reducing to around $580 a tonne and the benefits of scale and efficiency gains coming through. And production continues to rise with the output guided to around 850,000 tonnes. Together, this combination of lower CapEx, lower costs and higher output strengthens margins and cash generation. It demonstrates how PLS has transitioned from an investment-led phase into a return-driven phase, positioning us with resilience today and leverage as the cycle improves. Moving now to Slide 32 for the markets. The lithium market remains volatile and evolving, still prone to sharp sentiment-driven swings as highlighted on our prior calls. This volatility is characteristic of an emerging market, where liquidity is thin, contracts are short-dated and momentum trading can amplify moves beyond fundamentals. A recent example is the well-publicized potential for supply disruption across several Chinese lithium producers, which acted as a catalyst for recent price moves and may well signal the start of a broader upward trend, time will tell. To support price discovery, PLS has continued periodic spot sales, most recently completing an August sale of SC6 pricing at USD 1,050 per tonne CIF China. Now that pricing was around 10% higher than the prevailing reported market average at that time. So that delta underscores the disconnect that can occur between published indices and realized market outcomes. This reflects the direct dynamics between producers and consumers. I should also add this cargo attracted very strong bidding interest, again, another sign of the market that we're in at the moment. Also as another market insight, several major chemical converters have recently approached PLS seeking additional tonnage for next year. This may also be an early signal of tightening supply expectations. Time will tell. Separate from volatility, prevailing price levels remain below what is required to sustain a healthy industry and incentivize the substantial new mine development needed to meet the expected future demand. These 2 dynamics, volatility and unsustainably low prices combined to discourage investment just as demand continues to grow. The result is a tightening supply outlook and the conditions for potentially significant recovery. Now while short-term volatility will persist, the long-term demand trajectory is clear. Electrification is accelerating, reinforcing lithium's critical role in the global economy and positioning PLS to benefit disproportionately as the cycle changes. Turning to Slide 33. Electrification is reshaping the lithium market. EVs and energy storage now account for the vast majority of demand, a dramatic shift from 2018 when industrials consumed around half of all lithium. EV adoption continues to accelerate. In June, every second car sold in China was an EV, while global market share reached 25%. Energy storage is also expanding at pace. Installations in the June quarter rose 36% year-on-year with 117 gigawatt hours installed year-to-date, up 46%. This growth is underpinned by record investment in the energy transition, which exceeded over USD 2 trillion in '24, led by electrified transport at USD 757 billion. Now while short-term pricing remains volatile, the demand trajectory is clear and strengthening, reinforcing the long-term fundamentals for lithium. For PLS, this megatrend underscores the value of the scale and optionality we've built, positioning us to grow with the market and turn the cycle into leverage rather than a constraint. Turning to Slide 34. The structural drivers for lithium demand are enduring, underpinned by energy transition policies, consumer adoption and rapid technology advancement. Global EV penetration is projected to climb to approximately 20% today to over 70% by 2040, a transformative shift. Battery energy storage is scaling even faster at this time, with demand forecast to quadruple by 2040. Together, EVs and battery energy storage are expected to represent around 90% of lithium demand from 2030 onwards. And on the supply side, demand growth of 10% CAGR highlights the scale of expansion required. But matching this trajectory will be challenging and requires significant investment, new projects and reliable operators. This context reinforces PLS' advantaged position with scale, balance sheet strength and growth pipeline, we are well positioned to supply into these structural trends. Now before we move to questions, let me leave you with a final reflection on what FY '25 represents for PLS. PLS today stands as the world's largest independent hard rock lithium producer, built on a cost competitive technology-enabled platform that gives us real competitive advantage. Our fortress balance sheet provides unmatched flexibility to lead through the cycle. FY '25 was a year of delivery and positioning. We met guidance. We completed major expansions. We strengthened our portfolio and continue to invest in our people, embedding the discipline required to deliver consistently. Now while near-term pricing remains volatile, the long-term demand story is clear. Current prices do not support the supply investment needed. This creates the conditions for tighter markets and recovery opportunities ahead. Our confidence is anchored in 3 key areas: operational excellence, financial strength and strategic positioning. Together, these make PLS a partner of choice in global supply chains and uniquely placed to capture value as the cycle turns. Finally, I'd like to thank our shareholders for their continued support and confidence in PLS. We recognize many of you have shared the ups and downs of the lithium cycle with us, and your backing enables us to invest with discipline, deliver on our commitments and position the company for long-term success. Now with that, I'd like to now hand back to Michelle to open the floor for questions. Back to you, Michelle.
Operator: [Operator Instructions] Our first question is going to come from the line of Kaan Peker with RBC.
Kaan Peker: One question on the spot sale, great outcome. Just wondering -- I just wanted to check how much of FY '26 production guidance is committed and how much is available for spot transactions? I'll follow up with the second.
Dale Robert Henderson: Yes. Thanks, Kaan. As it relates to FY '26, there is some movement between offtake and spot. We're considering that allocation at the moment. So we'll provide some more visibility on that later once that -- when that's firmed up. But we have a strong base case position that if we choose to, largely the whole amount of FY '26 could be placed as offtake if we choose to. You might recall, we did some offtake extensions going back at the start of last year, which are at PLS' election if we choose to place offtake with some customers. So we're in the throes of evaluating that now, and we'll update in the future on that. So not a clear answer there, but base case, largely all offtake. But as I said, we might open up a wider spectrum of spot because potentially that might be to our advantage next year.
Kaan Peker: Sure. And then maybe the size of the spot transaction. And then if I can also ask if there's any sort of additional detail what your customers are actually telling you or what you're seeing with the spodumene market and lepidolite production in China, some views around this.
Dale Robert Henderson: Sure. So the spot sale was quite small. It was about 5,000 tonnes. So typical of other spot sales we've done historically. As it relates to customer engagement, I have to say, over the last few weeks, it would be no surprise to anyone, they're broadly very positive. As I mentioned in the notes, a couple of major chemical converters are pressing us for larger volumes for next year. So that's all very positive. As it relates to lepidolite mines, specifically, some confusion, I'd say, around those changes with no insights, which frankly deviate from what we have read in the sort of publicized materials. So taking them as read, it's about facilitating approvals for those mines. And if that doesn't come through, well, those mines get turned off as we understand. So there's no other insights coming from our customers on that space there.
Operator: [Operator Instructions] Our next question is going to come from the line of Rahul Anand with Morgan Stanley.
Rahul Anand: Morgan Stanley, Research Division I wanted to start with perhaps your investment and strategy. Just on the Colina project, obviously, you've got a $40 million to $45 million spend in '26. Just wanted to understand how you're thinking about that versus P2000, if you've got a kind of a sequence in your mind and what you want to prioritize prior? That's the first one.
Dale Robert Henderson: Sure. Thanks, Rahul. So as per our guidance, in terms of furthering these growth options, we have very much minimized the spend in these areas, but we are progressing them. So very much targeting -- targeted as it relates to Colina, very much targeted drilling to extend resource and all going well near-term tonnes in parallel studies in parallel, there's a number of obligations we have to meet in terms of approvals and other requirements dealing with our licensing there. So that's really the investment around that. P2000, it's progressing the studies as well. And the way we think about these -- both is this is about preparing these options for ultimately when the market is ready. To your question of how do we think about the prioritization one over the other, we don't have the information yet to really make a call on that, given that the sort of parameters of each of those decisions relates to approvals, time line and the raw economic returns. And of course, in both cases, we've got study outcomes to sort of come, which will obviously inform that. So we'll -- in the meantime, we'll progress both. And once they've matured and as the market continues to change, we'll take a view later around, which one over which. Does that [indiscernible] Rahul.
Rahul Anand: Morgan Stanley, Research Division Sure. Look, the second one is a quick one on the lease liabilities. Obviously, I understand the increase this time. But just wanted to get a feel for how we should think about them going forward. Have we kind of got everything related to P1000 in the numbers now and related to the exploratory drills, et cetera? Or is there more to come sort of in the following years? Just trying to square the thinking on that.
Flavio Lino Garofalo: Yes, I can take that. Yes, look, in terms of the lease liabilities, it's fairly reflective in terms of the amounts we have this year moving forward. The transition really is in relation to the move to the owner-operator model, and there will be some more items coming through over the next couple of years, but we expect the same sort of levels to continue.
Operator: [Operator Instructions] Our next question will come from the line of Levi Spry with UBS.
Levi Spry: So just sticking to the growth options. So when it comes to Ngungaju, I've tried to get a price view when you might restart that. But can you just talk through what actually is involved? So CapEx that would be required, how long it would take and then potentially, I guess, impact on the cost, overall cost profile and maybe what you would need to see from offtakers?
Dale Robert Henderson: Sure. Thanks, Levi. And as it relates to how long sort of the most rapid start-up of that would be in the order of 4 months, which we've guided previously. As to what are the requirements around facilitating that, there will be some nominal CapEx to ready the facility, but not material. as it relates to the processing plant. As it relates to the mine, depending where we're at in the mine plan, we've obviously got to bring forward volume to support 2 processing plants. So it depends on where we're at in the mine plan, whether we would need some additional fleet or not. So obviously, we would consider that at the time. As it relates to what are the sort of the threshold levels to trigger the decision, well, of course, it's all about pricing, but not just hitting a price level. It's about confidence around a sustained price level. And we haven't given a number around that. But we're cognizant of the fact that historically, the industry has had a propensity to have sort of spikes and it can be volatile. So what we wouldn't want to have is we wouldn't want to go through the investment of restarting that operation to find that it's short-lived. So ensuring you that as best we can get confidence that the price improvement is enduring will be a key part of that decision.
Levi Spry: Yes. Okay. And yes, how could the offtakers be involved in that? Would that mean a floor price or something like that?
Dale Robert Henderson: It's possible, yes. And we have had no shortage of interest around the Ngungaju facility, which is great. And yes, we've gone straight back to them saying, we're open for business, but the floor price sounds good. But we'll believe it when we see it in terms of a floor price. But as it relates to confidence around the ability to place those tonnes that we bring on, we've got very high level of confidence. No issues with that.
Levi Spry: Okay. And just a quick one for Flavio. So D&A stepped up materially with P1000. Is that a good number in the second half going forward? Can you just give us a bit of a guide there, please, Flavio?
Flavio Lino Garofalo: Yes. So D&A increased as a result of the completion of the CapEx on P1000. We expect that sort of level to be maintained through FY '26 as the investment cycle is completed on that capital infrastructure.
Operator: [Operator Instructions] Our next question will come from the line of Hugo Nicolaci with Goldman Sachs.
Hugo Nicolaci: Congrats again on a productive year of milestones at Pilgangoora. First one from me, please. I think you've previously said that the upgraded resource earlier in the year isn't expected to change the near-term mine plan. Can you just remind us when the next cutback in the central pit is due and the rough magnitude of that stripping cost relative to the $120 million being spent this year?
Dale Robert Henderson: Yes. Thanks, Hugo. So yes, so we've upgraded the resource a revisit of the reserve is yet to come, and we haven't guided around that component. As it relates to the next cutback in the mine plan, that's slated for next year. Now we haven't guided, of course, for next year. So still mine plan refinements to come. But I can say that although it will be a step-up in waste movement, it will still be less than our long-run average of 7: 1. Brett and team are still optimizing the mine plan for next year. So I don't want to preempt what that level is. But I'd also add that although we might have a little bit of waste movement step up next year, we're also anticipating further cost out through mine fleet. And you might recall from our site trip, we spoke about bringing in a larger fleet for that waste movement, which will help offset any additional waste movement.
Hugo Nicolaci: Got it. And then maybe just picking up on Levi's question around the Ngungaju restart, just noting you got environmental approval for additional mobile crushing there earlier in the year. Are you able to just give us a little bit more detail around what is required at the plant to be able to bring that one back on? And what level of ROM stockpiles you think you need to run both plants sustainably?
Dale Robert Henderson: So as it relates to the plant, you put it in the category of maintenance and refurbishment works, not -- you recall it was steady-state operations and then a cadence of normal maintenance regime. There is a little bit of maintenance step to work through. So it's not a case of investing anything new or different there. As it relates to ROM stocks, I can't recall offhand what those volumes need to be, but they're inconsequential really in terms of feeding that operation.
Operator: [Operator Instructions] Our next question will come from the line of Matthew Frydman with MST Financial.
Matthew Frydman: Sure. And look, apologies for putting the financial results a little bit in the rearview mirror already. But I had a question on FY '26 guidance. And you've already spoken, I guess, in prior questions around maybe the biggest decision around restarting Ngungaju. But my sense is that you probably do have some levers to push even within the P850 operating model to produce some incremental tonnes. So can you remind us what the drivers are for getting to the top end of your guidance range and maybe meeting some of those customer requests for additional tonnes and what that might look like?
Dale Robert Henderson: Yes. Thanks, Matthew. Yes, so as it relates to the ability to push to the top end of production volumes, it's essentially all about the processing plant for the year ahead. So obviously, last year was all about building up the production capacity, but installing a whole bunch of new processing levers here of the ore sorting capacity. We've got enlarged wins. We've got online analyzers. There's a whole bunch of new tools for the processing team. So really, this year that we're in is really around trying to maximize each of those to full extent. And if that goes well, well, that will enable us to move to the top end of those production volumes, which, of course, unlocks further volumes for allocation and also plays through to reduce unit costs. So this year, in the main, it's about the processing plant.
Matthew Frydman: Okay. Thanks, Dale. And then maybe just following up on that in terms of how you potentially place some of those additional volumes. Maybe without being specific to the spot sale that you talked about in August, but more generally in terms of how you approach those cargoes, is there anything to call out there in terms of timing of delivery or payment or potential provisional pricing adjustment windows or kind of any other terms that are relevant for that spot sale or spot sales of that nature that are different to your usual contracted volumes? And I guess why it's preferable to conduct sales like that rather than using the auction platform?
Dale Robert Henderson: Yes. It's a big question, that one. So maybe sort of stepping back. So the way we think about our sales profile being one of the major operators globally is we look to have a large baseload allocated to the strongest in the supply chain. So that's what we've done. As it relates to unallocated tonnage, we like a level to be apportioned to the spot market because we think that's healthy for the industry with price discovery as noted in my narrative a moment ago. To your question on what are the specific terms that we look to pursue, well, the long and short of it is it's all up for grabs. And really, we will chase anything, which equals a high return for our shareholders and a derisked outcome for our shareholders. So we did touch on floors. That would be nice, as I said, I believe it when we see it. But as it relates to prepayments for Ngungaju, that's possible as it relates to more preferable pricing mechanisms, that is always something we're chasing. So all of the above is what we pursue if we're looking at offtakes. And then as it relates to spot sales, well, it's all about highest price wins essentially provided we've got confidence they can follow through with the transaction.
Operator: [Operator Instructions] Our next question will come from the line of Austin Yun with Macquarie.
Austin Yun: Just one question on the additional volumes. A lot of interest or attention on the Ngungaju. My question is around for your Pilgan plant, how much upside do you see after been running that plant for a while before you really need to turn to restart the other facility? Any color would be appreciated.
Dale Robert Henderson: Yes. Great question, Austin. And I'm looking in Brett's direction. He's going to make sure we maximize that plant to full extent and -- and how far can we extend it further? Well, that is the job of Brett's processing team to continue to see what we can do to eke out more tonnes at a lower cost. So the -- obviously, we've put a range to make sure we can try and capture that upper end. In the years ahead, well, of course, we'll continue to pursue even further improvements. That's the name of the game. And as we've talked about historically, there's more to be done in terms of recovery tools and other sophistication in terms of time mineralogy to higher recoveries. There's more to come in that regard. And separate to all of that, there's more very sensible cost-out initiatives, which we touched on around power and the mine, et cetera, so which obviously helps on the unit cost side. So -- it's all in the category of operations [ 101 ], and we will continue to focus on that. Does that answer your question, Austin?
Austin Yun: Yes. Just a quick follow-up, if I may. Given the volatile market, you mentioned that there's a lot of interest from the customers. Does that give you an upper hand in price negotiation? How should we think about the realization? Any opportunities to lock in a higher price?
Dale Robert Henderson: Yes. I think we're well set up in that regard, Austin. As it relates to our offtakes themselves, most of those pricing mechanisms are -- some are a little bit forward dated, which means that if we're now into a price rising cycle, we'll enjoy the benefit of that. You might recall that as pricing sort of came off as a function of our forward-leaning price structures, we realized lower prices relative to our peers. So hopefully, [indiscernible] should be on the other foot on the return cycle. And as it relates to -- on the spot side and why we sort of sought to share that recent spot sale, there's some good enthusiasm there. And it seems sort of typical as what we saw in the last price rise cycle, where some of the enthusiasm is really starting to come back into the fray. So who knows whether that persists. But if we think it's to our advantage, of course, we'll look to try and push more tonnes through that avenue.
Operator: [Operator Instructions] Our next question is going to come from the line of John Sharp with CLSA.
Jonathon Sharp: Just a question on the ore sorters. So during the site visit, it was quite impressive to see those. It appears there's quite a bit of potential there. And I would say maybe some quite confidence from the management team when we're on the site visit. So can you just give us some detail on what you expect to see from the ore sorters and sort of what potential in recoveries we could see?
Dale Robert Henderson: Yes. Thanks, John. Too early to provide a steer on that. As it relates to our production volume guidance for the year, that upper end is predicated on the expectation of those ore sorters going well and moving to a new level of performance. Yes, the team is so far very happy with what they're seeing and can see a level of upside. That being said, there's a lot to integrate and coordinate as you saw on site. So although the team is optimistic, we need to really prove it. And if we can maximize the clean ore processing through that facility, that actually helps actually mainly through mining costs. So the key advantage there is that's sort of benefit number one. Benefit number two, of course, is the clean ore coming into the operation, which plays through to the higher recovery. So those are the dual benefits we're chasing. But look forward to all going well, offering more insight into that space in the coming quarters as we get more runs on the board.
Jonathon Sharp: And just to follow up on that, you would expect recoveries to slightly increase as the year goes on?
Dale Robert Henderson: It depends how we go. We sort of indicated as part of the guidance around sort of 72% sort of level, low 70s, depending how we go. Look, if things really come together well, yes, there's potential to go higher. And ultimately, of course, that's the name of the game and what the team is focused on. But proof in the pudding, we'll wait until we've proved up what we can achieve and provide that insight in due course.
Jonathon Sharp: Okay. And just a quick question on capital management. Sort of what conditions would you see a change in capital management approach, whether that's dividends, buybacks, resume? What do you want to see before that changes?
Dale Robert Henderson: Yes. So as it relates to capital management framework, the Board is not considering any changes in the near term around that. We think it's appropriate for the business and where we're at in the market. So now within that, of course, that contemplates the bevy of levers, inclusive of the likes of share buybacks that you touched on. So what we'll do is we'll just continue to run the ruler on each of those and then take a view depending where we're at with the market. But we don't have sort of a set of conditions in mind around deploying any of those particular mechanisms at this point. Hopefully that -- hope that clarify, John.
Operator: [Operator Instructions] Ben Lyons with Jarden.
Ben Lyons: Apologies for a reasonably detailed question. It might actually be one for Flavio. But just waiting through the notes to the accounts, it actually appears that your lease payments reduced year-on-year down to $95 million versus $115 million in '24. However, the liabilities have more than doubled year-on-year, obviously, as you transition to that owner-operated mining kit. So just trying to [Technical Difficulty].
Dale Robert Henderson: As it relates to the drilling, yes, no particular insight we can offer yet. We're sort of early into that. However, one of the attractions for that asset acquisition was the fact that in our view, bunch of the tenure is not yet drilled, and we think it's quite prospective. We're really drawn to that. We thought that resource did a cracking job getting underway sort of the base asset, but that was very much concentrated work. We do see potential in the other tenure, and we'll look to develop that in time. I would add that a lot of the drilling that we are doing is very much targeted around infill drilling and building up near the base asset because, of course, we want to support and improve reserve and play that through to improved economics. But long run, I think it's a great area. It shows fantastic prospectivity, and we look to -- look forward to proving that up in time. Does that answer that?
Operator: [Operator Instructions] Our next question is going to come from the line of Glyn Lawcock with Barrenjoey.
Glyn Lawcock: Just a point of clarification. Just so I'm clear, with the lease spend and the D&A, the second half was $132 million D&A and $24 million on the lease spend. Should we double that? Or is the full year just gone more a reflection of the future?
Flavio Lino Garofalo: I think -- Glyn, thanks for your question. I think the full year is probably more a reflection is what you should be taking.
Glyn Lawcock: Okay. For both D&A and lease. Okay. And then, Dale, just a question for you. You used the words many times fortress balance sheet, and then you talk a little bit about the demand. I mean I know it's not your demand projections, it's benchmark. But that implies about 250-odd thousand tonnes of LCE demand every year for the next 15 years, which is roughly 5 Kathleen Valleys. Given your balance sheet and the demand outlook, why wouldn't you not progress your projects fast such that when the market turns, you can actually bring them on quickly rather than not be ready when the market turns?
Dale Robert Henderson: Yes. So Glyn, for us, the strategy has sort of outlined has been we kind of -- we've continued to grow with the market, as you've seen. So the FY '25 was really the completion of what's been incredibly heavy level of investment. So we've tried to sort of capture that. And as we think about growing with the market, it's more of the same. So at this part of the cycle, it's about minimizing cash, but sensibly spending to ready those options. But of course, not moving forward with big spend until such time that we have high level of confidence around the market positioning because, of course, the market is so volatile. So that's sort of the rationale there, Glyn.
Glyn Lawcock: I appreciate that, Dale. But I mean, we're talking about money for projects, not to build it, but just to get it into a ready-to-execute phase. I mean that wouldn't put a dent in your fortress balance sheet I wouldn't have thought if you're just getting them to an FID phase.
Dale Robert Henderson: Well, that's pretty much what we're doing [indiscernible] the targeted studies as we've called it and targeted drilling, we've minimized spend, but we are progressing those projects to be ready.
James Fuller: Okay. So we're going to move to some questions on the webcast Q&A. First question is, when would -- when do we anticipate the Brazilian project will bear fruit?
Dale Robert Henderson: Well, I think the first signs of that all going well will come through the drill bit and seeing what we can achieve there. And then the second part will be a refresh study, which will incorporate, hopefully, more tonnes and hopefully, a new perspective on processing care of transferring our know-how from Australia to that asset. So look out for the resource updates, reserve updates and study updates.
James Fuller: Okay. Thank you. Next question is, as our sales pricing is based on indices market reported pricing, should PLS engage in more regular price discovery to ensure we maximize revenues given the gap disconnect in reported pricing?
Dale Robert Henderson: Yes. Great question. And yes, that's the short answer. So as we sort of outlined on the call today, we are doing our bit as it relates to spot sales to help improve price discovery given the way in which that feeds through to those indices. So we'll look to do a level of that as best we can moving forward.
James Fuller: Okay. Thank you. Regarding an earlier question on pricing on the offtake of the spot sale, regarding the terms of the potential offtake for most of the volumes in FY '26, how are they priced at a premium or discount to spot sales seen in the market?
Dale Robert Henderson: Yes. So across our offtakes, I can only talk in general terms. So the headline principle is that we achieve the market pricing for those offtakes. So either a discount nor a premium. And so that's what we seek to achieve with our long-term offtake partners.
James Fuller: Okay. Thank you. Next question. If new taxes or royalties are introduced in your key jurisdictions, how would that impact your cost curve?
Dale Robert Henderson: Well, of course, that's a function of what's the scale of those taxes or royalties. And yes, so I can't really comment on what that would be.
James Fuller: Okay. Last question. What kind of yearly tonnes from Colina when operating, are we expecting to produce?
Dale Robert Henderson: We'll provide some insight on that as part of the next study output. All going well, we'll look to increase from what [ Latam ] had originally designed, but we don't know that yet. We need to complete more drilling and complete the studies to see what we can do there. Okay. With that, that completes our FY '25 full year results call. Thank you all for your attention. We look forward to updating you again in due course. Thank you all.
Operator: This concludes today's conference call. Thank you for participating, and you may now disconnect.